Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Urban One 2025 Second Quarter Earnings Call. As a reminder, this conference is being recorded. We will begin this call with the following safe harbor statement, during this conference call, Urban One will be sharing with you certain projections or other forward-looking statements regarding future events or its future performance. Urban One cautions you that certain factors, including risks and uncertainties referred to in the 10-Ks, 10-Qs and other reports it periodically files with the Securities and Exchange Commission could cause the company's actual results to differ materially from those indicated by its projections or forward-looking statements. This call will present information as of August 13, 2025. Please note that Urban One disclaims any duty to update any forward-looking statements made in the presentation. In this call, Urban One may also discuss some non-GAAP financial measures in talking about its performance. These measures will be reconciled to GAAP either during the course of this call or in the company's press release, which can be found on its website at www.urban1.com. A replay of the conference call will be available from 2:00 p.m. Eastern Time, August 13, 2025, until 11:59 p.m. Eastern Time, August 20, 2025. Callers may access the replay by calling +1 (800) 770-2030. International callers may dial direct +1 (609)-800-9909. The replay access code is 3660282. Access to live audio and a replay of the conference will also be available on Urban One's corporate website at www.urban1.com. The replay will be made available on the website for 7 days after the call. No other recordings or copies of this call are authorized or may be relied upon. I will now turn the call over to Alfred C. Liggins, Chief Executive Officer of Urban One, who is joined by Peter Thompson, Chief Financial Officer. Mr. Liggins, please go ahead.
Alfred C. Liggins: Thank you, operator. Also joining us is our General Counsel, Kris Simpson; our Chief Administrative Officer, Karen Wishart; and our TV One CFO, Jody Drewer. The earnings release, press release is out. Consistent with what's going on in the industry, it was a tough quarter. Albeit, when Peter gets into the numbers, there are some adjustments that need to be taken into account that don't make the picture as dire. One of those is a difference in the timing of our Tom Joyner cruise, which was in Q2 last year, but has been moved to Q4, and that's a big revenue number. And also, there's a noncash adjustment through the TV One award, which has a significant impact on the downdraft on the EBITDA line as well. I think the big news is that we have revised our guidance for the year given the headwinds that we're experiencing down from the original $75 million, which we had at the beginning of the year to a $60 million full year number. We have not instituted a second round of cost cuts and rightsizing as of yet. That's something that we'll focus on over the next 30 days and look to institute by the end of Q3. So it takes effect [indiscernible] in Q4. We have seen a bit of moderation, as I think we said last quarter in our TV business. Actually, that's a business that is doing better than we originally had budgeted. But the Radio and the Digital business and Reach Media, in particular, are undergoing significant headwinds. So with that, I'm going to let Peter take you through the details, and then we'll open it up for Q&A and talk about the business in more detail.
Peter D. Thompson: Thanks, Alfred. I'll just quickly run us through the numbers. So consolidated net revenue is approximately $91.6 million, down 22.2% year-over-year for the 3 months ended June 30, 2025. Net revenue for the Radio Broadcast segment was $36.7 million, a decrease of 12.6% year-over-year. Excluding political, net revenue was down 10.3% year-over-year. According to Miller Kaplan, our local advertising sales were down 5.6% against the market that was down 11%. Our national ad sales were down 23.6% against the market that was down 13.1%. Our largest ad category was services, which was up 23.4%, was driven by legal firms and legal services. Financial was also up 11.3%, and all the other major categories were down. Net revenue for Reach Media segment was $5.3 million in the second quarter, down 71.9% from the prior year, and adjusted EBITDA for Reach was a loss of $1.7 million for the quarter. The Tom Joyner cruise event, as Alfred said, was in the second quarter of 2024, and generated $9.6 million in revenue in Q2 last year. This year it's going to be held in Q4. So you have a revenue and a profit timing difference there for the quarter. Aside from the absence of the cruise revenue, client attrition and lower average unit rates drove the network advertising revenue decline. Now revenues for the Digital segment were down 27.1% in Q2 at $10.3 million. The decline was driven by the loss of an exclusive third-party audio streaming deal. So that impacted us by $1.6 million of revenue. Direct and indirect Digital sales were down by $1.2 million. Adjusted EBITDA was a loss of $0.1 million compared to a profit of $2.7 million last year. We recognized approximately $40.1 million of revenue from our cable television segment during the quarter, a decrease of 7.5%. Cable TV advertising revenue was down 4.2%. Total day delivery declined 12.5% for persons 25-54, and that was offset by an increase in CTV and third-party platform revenue share. Cable TV affiliate revenue was down 11.7%, driven by subscriber churn, which was partially offset by an increase in subscriber rate and the launch of NOW TV. Cable subscribers for TV One, as measured by Nielsen, finished the second quarter at 34.3 million compared to 35.6 million at the end of Q1. CLEO TV had 33.7 million Nielsen subscribers. Operating expenses, excluding depreciation and amortization, stock-based compensation and impairments of goodwill and intangible assets, decreased to approximately $78.1 million for the quarter, a decrease of 16.3% from the prior year. The overall decrease in operating expenses was primarily due to the absence of the Reach cruise event, which had $8.4 million of expenses in the second quarter last year. Other notable expense decreases include corporate professional fees, overall payroll expenses and Cable TV advertising expense. A noncash credit of $6.2 million was included in the prior year expenses for the reduction in the value of the CEO's TV One award, and that compares to a charge of $0.7 million, which was included in this year's second quarter total. So that caused an unfavorable variance of $6.9 million year-over-year, which was noncash. Normalizing for this, adjusted EBITDA was down $8 million year-over- year and further adjusting for the timing of the Tom Joyner Fantastic Voyage, EBITDA was down approximately $7 million year- over-year. Radio operating expenses were down 7.8% or $2.5 million, driven by lower employee compensation and fewer station event expenses. Reach operating expenses were down by 55% due to the absence of the cruise event. Operating expenses in the Digital segment were down 8.4%, driven by lower employee compensation. Operating expenses in the Cable TV segment were down 19.6% year-over-year, driven by lower programming content amortization, lower marketing campaign expenses and lower employee compensation expense. Operating expenses in corporate were up by approximately $2.1 million. Third-party professional fees were significantly down from last year. However, the noncash compensation related to the TV One award that I just mentioned increased by $6.9 million. Hence, the overall corporate expense was up. Consolidated adjusted EBITDA was $14 million for the second quarter, down 51.7%. Consolidated broadcast and digital operating income was approximately $25.7 million, a decrease of 25% year-over-year. Interest and investment income was approximately $0.6 million in the second quarter compared to $1.8 million last year. Decrease was due to lower cash balances in interest-bearing investment accounts. Interest expense decreased to approximately $9.7 million in Q2, down from $12.4 million last year due to lower overall debt balances as a result of the company's debt reduction efforts. The company made cash interest payments of approximately $0.8 million in the quarter. And during the quarter, the company repurchased $64 million of its 2028 notes at an average price of 51.8% of par, bringing the balance to $492.3 million as of June 30, 2025. We recorded $130.1 million in noncash impairments in Q2 against the carrying value of the FCC licenses in all of our markets with the exception of Baltimore and goodwill impairment for certain reporting units in the Radio Broadcasting segment and the Digital segment. Due to the decline in the forecast cash flows in Q2 and continued decline in the radio industry generally, the company prospectively changed the useful life of the FCC licenses from indefinite lives to finite live intangible assets effective June 1, 2025. We recorded amortization expense of approximately $1.3 million for the 3 months ended June 30, 2025. Benefit from income taxes was approximately $21.4 million, and the company paid cash income taxes net of refunds in the amount of $0.2 million. Capital expenditures were approximately $1.2 million for the quarter. Net loss was approximately $77.9 million or $1.74 per share, compared to a net loss of $45.4 million or $0.94 per share for the second quarter of 2024. During the 3 months ended June 30, 2025, the company repurchased 226,041 shares of Class A common stock in the amount of approximately $369,000 at an average price of $1.63 per share. And we repurchased 200,549 shares of Class D common stock in the amount of approximately $117,000 and at an average price of $0.59 per share. As of June 30, 2025, total gross debt was approximately $492.3 million. Our ending unrestricted cash was $85.7 million, resulting in net debt of approximately $406.6 million, which compares to $79.1 million of LTM reported adjusted EBITDA for a total net leverage ratio of 5.14x. And with that, I'll hand it back to Alfred.
Alfred C. Liggins: Thank you, Peter. Operator, could you open it up for Q&A, please?
Operator: [Operator Instructions] Our first question will come from the line of Ben Briggs with StoneX Financial Inc.
Ben Briggs: So a couple of quick ones from me here. First of all, I'm looking at the margins here in your Cable TV segment, and I'm noticing that the EBITDA margins have grown a bit. Am I right to infer that those are from this first round of cost-cutting initiatives that you guys did?
Peter D. Thompson: No. I think the -- yes. Do you want to speak to it, Jody?
Jody Drewer: It's just -- it's a timing issue. We did get some savings on programming that will be in within the year, but just timing of our marketing campaigns this year versus last year is what's giving you the positive flip.
Ben Briggs: Got you. Understood. Understood. And after the second round of cost cuts, I know you mentioned that they're going to happen kind of by the end of the third quarter. So expect to see them flow through results in the fourth quarter. Can you give any granularity on what we should expect to see and how we should expect to see those cost cuts flow through the financials?
Alfred C. Liggins: Not yet. We haven't -- we started the process and -- but we're not finished. So that's the reason they haven't taken effect. I don't suspect it's going to dramatically change the current guide. And I think you'll see the majority of the impact come through for 2026. But I don't have that answer for you just yet. But since we've talked about it on the call last quarter, I wanted to point it out that we haven't gotten there yet. But we wanted to go ahead and get the guide out there sort of irrespective of what that cost cut was going to bring. I mean, could it bring $1 million or $2 million in the quarter? Maybe. We'll find out. We just haven't -- we haven't tabulated yet, but it's not going to take it to $70 million.
Ben Briggs: Right. Got it.
Peter D. Thompson: And Ben, just circling back on the TV One margins. I'm looking at the full year projections and the margins are flat essentially. So we're holding margins pretty well off of obviously a diminished revenue base, but the margins are not -- margins are flat, but it's a good effort.
Ben Briggs: Okay. I appreciate that. And then next thing and maybe the last thing for me is, obviously, there was $64 million of debt buybacks during the second quarter. How are you guys thinking about debt buybacks? Obviously, your bonds are trading a little up. They're closer to [ 60% ] now than I think they were when you were buying them. Are you guys planning on continuing those debt buybacks or maybe a pause now that the debt has rallied?
Alfred C. Liggins: Yes. Look, I think that our focus continues to be debt reduction and expense management. So whether or not we're going to be back opportunistically buying debt at this level remains to be seen, meaning that, look, one of the reasons why we wanted to get our numbers out there, so the market can have a realistic view of what -- where we're going to be this year. So we'll still see how it all plays out. But the vast, vast, vast majority of our cash is continued to be focused on our delevering efforts. So don't have an answer what we're going to do this afternoon or tomorrow in terms of debt buybacks, but our priority has not changed.
Operator: [Operator Instructions] And our next question will come from the line of Ken Silver with Stifel.
Ken Silver: You can hear me?
Alfred C. Liggins: Yes, we can.
Ken Silver: Okay. Sorry about that. There's an echo on my end. Just a few questions, and you sort of just addressed this with the last caller. But your sales and marketing expenses on a consolidated basis were down a lot year-over-year in the second quarter. Is that like the new normal? Or are they going to like -- I think you kind of -- are they going to reverse a lot in the second half of the year?
Peter D. Thompson: Well, there's a timing difference that Jody just mentioned for TV One. So there's some element of reversal there. But I mean, we're just obviously tightening our belts across everything we can. So I don't think there's going to be a major rebound on those.
Ken Silver: Okay. And then I guess, I mean, if you're tightening sales and marketing a fair amount, like I mean is it -- are you seeing any sort of unintended consequences negatively from like top line? Or you feel like that hasn't affected you?
Peter D. Thompson: It's almost the other way around. It's like the sales commissions because...
Alfred C. Liggins: Yes, exactly. It's variable, right? Yes, we have not gone in and taken out salespeople in our cost efforts. That's not -- and in fact, if anything, in markets like Washington, D.C., we're looking to beef up, right? We're -- so we're not -- sales is not an area where we're looking to take out a bunch of costs, right? Right now, it's really kind of -- we actually need to be reorienting our efforts in the Radio business to actually increase our Digital -- our Digital revenue generation. So I think that cost reduction in that area has got to be largely related to just the revenue being down, right? I think -- yes.
Ken Silver: I understand. I thought it was something -- marketing expenditure, too. I got it. No, I understand. Okay. And then, Peter, I think I heard you say that on national radio, yours was down 22% in the quarter versus like a market down 11%. Is that right? And if that's right, can you maybe just talk about that a little more?
Peter D. Thompson: Yes. So national, we were down 23.6% against the market that was down 13.1%. So we've been struggling nationally with big clients and big agencies. There's some...
Alfred C. Liggins: Yes. So look, so we got a couple of things happen. One, you've got the natural pressure on -- secular pressure on our businesses, cable television, broadcast radio and national radio. Then you also have the pullback in DEI dollars, which have absolutely hurt our performance. And so it's a combination of those things.
Peter D. Thompson: And then we're also hearing about AI, AI related...
Alfred C. Liggins: Yes.
Peter D. Thompson: Excluding radio altogether.
Alfred C. Liggins: Yes. So these large language models that people are now using to do marketing campaigns are not -- they're emitting broadcast radio as part of it. We got to figure out what the solution is for that. But again, that's more of the digital transformation that puts pressure on us.
Ken Silver: Got it. Okay. Great. And then just lastly, on your ABL, I think it was undrawn, but is it fully available? Are there covenants? Can you just remind us?
Peter D. Thompson: Yes. No, it's fully available to be drawn. There's a maintenance covenant, fixed charge ratio covenant, which we are in compliance with. So if we needed to draw on it, we could.
Ken Silver: What is the covenant?
Peter D. Thompson: I think it's [ 1 ] ratio, and we're at [ 1.7 ] off the top of my head. So we've got significant headroom on that.
Operator: And our next question comes from the line of Marlane Pereiro with Bank of America.
Marlane Pereiro: I was wondering if at a very high level, you can just let us know how you're thinking about free cash flow for the remainder of the year and for the full year. One, obviously, given the reduction in the EBITDA, obviously, there should be some cost saving elements in the second half of the year, although I know that's still to be determined. Also, has there been any tax benefits? Sorry if I had missed that. But just if you can provide some context, that would be great.
Peter D. Thompson: Sorry, what was the last bit?
Alfred C. Liggins: Tax benefit.
Marlane Pereiro: From the new legislation.
Alfred C. Liggins: What new legislation?
Marlane Pereiro: I was wondering if there's any interest benefit from the Big Beautiful Bill.
Alfred C. Liggins: I don't...
Peter D. Thompson: No...
Marlane Pereiro: On the interest side -- okay.
Peter D. Thompson: No. So look, we're projecting at the moment -- if we don't do any more debt buybacks, we're projecting about a $95 million cash balance at year-end.
Alfred C. Liggins: $95 million.
Peter D. Thompson: $95 million. So obviously, even with the lower EBITDA, we think we're going to generate some additional cash in the back half. Was there a third part to the question...
Marlane Pereiro: That was it. Just any context on the moving parts, but that's helpful.
Operator: That will conclude our question-and-answer session. I'll hand the call back over to Alfred Liggins for any closing comments.
Alfred C. Liggins: Great. Thank you, operator. Thank you, everybody, for joining the call. As usual, we're available offline for any additional questions that you may not have had a chance to ask. Thank you. Thank you, operator.
Operator: Thank you. And this will conclude today's call. You may now disconnect.